Operator: Good day and welcome to the Weave's First Quarter 2022 Earnings Conference Call. At this time I would like to turn the conference over to Maria Hocut with the Blueshirt Group. Please go ahead ma'am.
Maria Hocut: Good afternoon and thank you for joining us for the Weave Communications first quarter 2022 earnings call. Joining me on the call today are Roy Banks, Chief Executive Officer and Alan Taylor, Chief Financial Officer. Full details of our results and additional management commentary are available in our earnings release, which can be found on the Investor Relations section of the website at investors.gateweaeve.com. Please note that this call will be simultaneously webcast on the Investor Relations section of the company's corporate website. Before we start, I would like to remind you that the following discussion contains forward-looking statements within the meaning of the federal securities laws, including but not limited to statements regarding Weave's future financial results and management's expectations and plans for the business. These statements are neither promises nor guarantees and involve risk and uncertainties that may cause the actual results to differ materially from those discussed here. You should not place undue reliance on any forward-looking statements. Factors that could cause actual results to differ from the forward looking statements can be found on our form 10-K filed on March 23, 2022, which is accessible on the SEC's website at www.sec.gov and also available on our website at investors.gateweave.com as may be supplemented in subsequent periodic reports we filed with the SEC. Any forward-looking statements made in this conference call including responses to your questions are based on current expectations as of today and Weave assumes no obligation to update or revise them, whether as a result of new developments or otherwise except as required by law. The following discussion contains non-GAAP financial measures. For reconciliation of each of these non-GAAP financial measures to the most directly comparable GAAP metric, please see our earnings press release which is available in the IR section of our corporate website at investors.gateweave.com. Now I will turn the call over to Roy, Chief Executive Officer of Weave.
Roy Banks: Hello and thank you for joining us today for the first quarterly call of 2022. First and foremost, I want to share my appreciation for all of the hard work our Weave team has put in this quarter to make it as successful and exciting time. As mass mandates lifted and COVID cases dropped over the course of the last few months, we saw a more lively office here in our beautiful Lehi, Utah headquarters, combined with a renewed focus and commitment to our customer base. The energy and impact of these developments are evident in our results. We also had the opportunity to meet with several members of the shareholder community in person for the first time and I look forward to meeting more of you in the months to come. We had a great first quarter to open 2022 as we continue to deliver a leading communications and engagement platform that unifies, modernizes and personalizes customer interactions. Our total revenue in Q1 grew 30% year-over-year to reach $33 million just above the high end of the guidance range we provided during our year end Call. Our non-GAAP operating loss was also slightly better than we had projected at $10.1 million. As we meet with customers, they continue to emphasize a few things. One is the void of technology and solutions built for local businesses who generally lack either the time or resources to implement and maintain a patchwork of communication and engagement point solutions that ultimately failed to meet local business needs. Next, consumers increasingly expect seamless purchasing and interaction experiences on devices and services that they're accustomed to using in their everyday lives. Lastly, is the challenge of personalizing customer interactions. Personalized customer interactions is how locally owned businesses differentiate and compete against larger operations and retain their patients and customers long term. We implemented a number of changes and improvements meant to evolve our company and better serve the needs of our customers in our core vertical markets which are dental, optometry and veterinary. I am very excited about the progress we're making in the market opportunity that lies ahead of us for the remainder of 2022 and beyond. Let's dive into a few specific highlights from Q1 that contributed to our results. We enter 2022 with a renewed focus to better leverage and scale our core sales efforts and marketing capabilities in order to increase awareness of how we deliver purpose built solutions and capitalize on our market opportunity. We believe deepening our penetration into Weave core specialty healthcare verticals provides ample growth opportunities for our company. Our focus on these core verticals in Q1 served as a foundation for our great start to 2022. On our last earnings call, we announced several important changes to our go-to-market strategies to build a more efficient and productive sales and marketing function that included the following; we sharpened our focus on our digital marketing capabilities to better generate higher quality top of the funnel inbound sales opportunities. We implemented updates to how we manage and distribute leads, drive daily sales activity and prepare customers for successful onboarding onto our platform. These changes leverage best practices for sales team performance and evolving industry norms. We continue to attract, hire and train highly engaged and motivated sales personnel to accelerate our revenue growth. With these changes, we're seeing early signs of improvement in our overall sales motion through higher lead quality, more efficient lead distribution and increased conversion rates. We're also achieving better efficiency and getting customers through the onboarding process which makes for a better customer experience and accelerates our revenue recognition. Collectively, we expect that these changes will enhance the predictability of future sales performance. In addition to optimizing our internal go-to-market processes, we have expanded our nascent IT channel partner program since its launch in Q3, 2021. Most recently, we announced that we now have over 250 IT channel partners participating in our program. This demonstrates our opportunity to serve as a large and underpenetrated TAM within our current core vertical markets. This growing program is expected to increase our new customer growth opportunities at channel partner source and refer more leads to our internal sales organization who in turn follow up on and close these opportunities. Leveraging this highly collaborative partnership and referral lead source we are focused on expanding our company's footprint with small and medium sized businesses through another go-to-market channel. I would now like to share some positive results we saw in Q1 related to our go-to-market actions. Our inbound sales team has demonstrated the ability to generate greater bookings value from the leads they work in all of our vertical markets. Our new lead administration program delivered increased efficiency in our sales pipeline and it's continuing to improve sales enablement. The increased adoption of our payments offerings contributed to our revenue outperformance and the 103% net revenue retention rate in Q1. Meanwhile, we continue to benefit from the resilience and strength of our customer base. Our gross revenue retention rate was 94% in Q1 reflecting strong product market fit and 103% net revenue retention demonstrates our ability to upsell and expand the utilization of additional services by our customers. Last quarter, we announced the signing of our largest ever customer engagement dental care alliance, which operates more than 370 locations across the country. We are now executing monthly installations at a pace that matches the joint expectations for whom we enter into this relationship. The locations that are successfully implemented in the first half of the year will contribute to the revenue ramp that we expect to have in late 2022. In addition to the go-to-market improvements we made in the quarter we also made progress across our payments, strategic partner and technology areas of the business. During the quarter we saw our payments processing volume grow as dollars processed per office and average ticket sizes increased. This continued positive trend reflects recent updates to our payment solution, including enhancements to our support for level two processing and our text to pay pricing, both of which have resulted in a higher net yield rate. We also signed a strategic integration agreement with Provet Cloud by Nordhealth, a practice management system for veterinarians. We were selected as their strategic partner for growth in the North American market. Provet Cloud integration with Weaves platform includes a seamless synchronization of pet information, appointments, and billing collections data along with recalls and vaccine reminders. We added several new features and key functionality to our digital forms product better enabling the new patient intake process for practices and all of our core vertical markets. This new version of digital forms provides expanded capabilities, including right back for key integration partners like Dendrix, Eagle Soft and Open Dental, an updated user interface and usability designed for easier and faster navigation, [from] activities, pages and filters so staff can quickly identify patients with missing forms, and the introduction of kiosk mode, allowing patients to use a self service kiosk in the office to finish incomplete forms. We significantly expanded the functionality of our web assistant product and its online scheduling features. These updates give practices more flexibility and help patients schedule appointments directly from the website, saving them time each day and capturing more business. Patients use a web page to schedule appointments allowing staff to confirm the time within the week platform. These updates include customization of the offices online calendar with appointment types, provide and schedule availability, giving patients the information they need to book the most convenient appointment without picking up the phone. Calendar right back to practice management systems for selecting integration partners and automated text confirmations to patients once the calendar appointment is approved by office staff.  As mentioned on our last conference call over the past year, we've continued to build out and strengthen our executive leadership team to grow and scale our business as a public company. Our April 21 press release outlined expansion of our leadership team that will further drive improvements in our strategic planning, operational discipline and execution, and most importantly, our financial results. Brett White has been a member of the Board of Directors since July of 2020. He will now serve as our President and Chief Operating Officer to leverage the extensive staff and payments experience he gained as the former Chief Operating Officer and Chief Financial Officer of Mind Body where he scaled operations, completed acquisitions and raised private and public capital. We've also appointed a new Chief Product Officer Branden Neish. He comes to us with an extensive background in product development, and will play a critical role in driving our vision of helping small and mid market businesses thrive by using our own one communications and engagement platform. I am truly proud of what we've accomplished within the last quarter. We are in the early innings of many great operational successes and as we strengthen and grow our core competencies I'm excited for what the future holds for us. I am optimistic about our new go-to-market strategies and our newly appointed and very seasoned executive team. I am looking forward to showing you what the rest of the year has in store for us. With that I'll turn the call over to Alan to review our financial results and expectations. Alan?
Alan Taylor: Thanks, Roy. And welcome to everyone joining us today. I'm excited to share the results of Q1, 2022 with you as our quarterly revenue of $33.3 million reached a new record high and exceeded our guidance. Additionally, we improved our non-GAAP gross margin to 59.1% from 57.4% in Q4 of 2021. And we also improved our non-GAAP operating margin to negative 30.3% from negative 33.3% in Q4, 2021. We continue to drive operational improvements in many areas as referenced by Roy and are optimistic about our early successes and ability to build on the momentum we are creating. I will now walk you through our financial results starting with revenue. Our total revenue grew 30% year-over-year to reach $33.3 million, reflecting continued strength in our net revenue retention of 103% and continued adoption of our payment solution. The improvement in our net revenue retention rate from 102% in Q1 of 2021 is directly attributable to the success of our payments solution. However, the value we drive through our core offering gives us a stage to deliver value added products and services to our customers such as payments, reviews and forms enabling them to unify, modernize and personalize every customer interaction. The value of the Weave platform is manifest in the strong gross revenue retention rate we enjoy, which was 94% again this quarter. Our gross revenue retention rate has consistently been between 91% and 94% since Q1 of 2019. Once customers have onboarded to our communication and engagement platform, our payments offering is a natural extension of the customer interaction. We expect payments continue to be a driver of net revenue retention in the future and a growth engine for Weave. In comparing revenue year-over-year please note that we changed our installation program in the third quarter of 2021 which means non-recurring installation revenues off our books by the end of last year. In Q1 of last year that program contributed $800,000 in non-recurring revenue. Excluding that revenue from Q1 last year or year-over-year growth rate would be 34% or 4% impact on Q1 revenue growth. The change we made leverages our customers existing IT providers or the more than 250 IT providers we have partnerships with. These IT providers now engage directly with our customers to configure hardware, install software and assist with upgrades. By facilitating these IT services rather than directly charging for them we increase our customer success on the platform by leveraging trusted local experts who understand the customers they serve. The IT providers are a lead source for us and the operational change also provide gross margin improvement. We achieved $90.7 million in non-GAAP gross profit which represents 32% growth year-over-year. Our gross margin likewise improved by 90 basis points to reach 59.1%. These improvements reflect the positive effects of replacing third party product offerings with internally developed solutions, such as our forms and reviews products, economies in our own hardware costs, and the cost savings associated with the elimination of the partner installation program just referenced. We are beginning to see the scale of customer hardware cost, which increased by only 14% less than half the rate of our revenue growth through a combination of fully depreciated hardware and actions to reduce the initial outlay of new customer installation costs. The Q1, 2022 non-GAAP operating loss of $10.1 million represents a negative 30.3% operating margin and is $900,000 better than the top end of our guidance range. The outperformance in Q1 is directly attributable to the strong revenue growth and gross margin improvement results. Q1, 2022 operating loss of 30.3% decreased 350 basis points compared to Q1 of 2021 and improved by 300 basis points compared to the prior quarter. The decrease compared to the prior years due to the ramp of sales and marketing headcount and restoring marketing and advertising spend to a more steady state post-pandemic level that we believe provides the fuel to deliver on our growth targets. Additionally, Q1, 2022 expenses reflect the first full quarter of being a publicly traded company compared to the prior quarter the 300 basis point improvement is due to 170 basis point improvement in gross margin and 130 basis point improvement in operating expenses. Non-GAAP net loss was $10.4 million, or $0.16 per share in the first quarter, based on 64.6 million weighted average shares outstanding. This is compared to a loss of 7.2 million or $0.59 per share a year ago on 12 million weighted average shares outstanding. Adjusted EBITDA EBIT loss was $9.1 million, representing a negative 27.4% margin and a $2.8 million increase from a loss of $6.3 million in Q1, 2021. Note that on January 1, 2022, we adopted the accounting guidance of ASC-842. And upon adoption, we adjusted the balance sheet to reflect the operating lease liabilities of $52.8 million, the majority of which is related to the office space lease agreement for our corporate headquarters. These lease liabilities were offset by recording operating lease right of use assets of $48.5 million and a write off in deferred rent of $4.3 million. Additionally, in Q1, we had a free cash flow usage of $5.1 million which was an improvement of $2.5 million compared to the prior year period. This improvement reflects the lower usage of operating cash flow and reduced purchases in property, plant and equipment as we completed the opening of a new office last year. As of March 31, we had $128.9 million in cash and cash equivalents.  Turning now to our guidance. As we look to build upon the momentum achieved in Q1 we are well-positioned to execute on our plan and deliver on our strategic priorities for the year. For the second quarter, we expect total revenue in the range of $33.0 million to $34.0 million and a non-GAAP operating loss in the range of $11 million to $10 million. We expect to have a weighted average share count of approximately $65.1 million for the second quarter. For the full year fiscal 2022 we are raising our guidance for total revenue to $139 million to $142 million which represents a $2.5 million increase compared to our previous midpoint expectation and we reiterate a non-GAAP operating loss in the range of $40 million to $36 million. We expect to have a weighted average share count of approximately 66 million for the full year. With that, we will now be happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions] We'll take our first question from Matt Stotler with William Blair.
Matt Stotler: Hey, guys, thank you for taking the questions. I guess first one, just on the changes you're making to the sales and marketing organization, obviously, certainly you guys talked at length on the last quarter's call. Sounds like things are early progress here is going well. Let's get an update on kind of timeline there. Obviously, how things are ramping up in terms of efficiency and productivity and as we think to the rest of the year when you expect these changes to be in full swing if you will around full productivity?
Roy Banks: Yes. Great question. So first and foremost, yes we're very happy and encouraged by the progress that we've made so far. The real outcomes and benefits that we've seen thus far, some of which have been reflected in the performance of Q1. But it's really been around our insights into the top of the funnel, and all the metrics that give us more clarity, visibility, predictability, and ways to increase our sales capacity or performance and the sales activity and ultimately productivity. So really happy with what we're seeing. The systems that we've implemented, we really think that we're, we're tracking right where we thought we would be. In terms of expectations going forward, I think, as we look into the second half of the year, I think that's where you'll start to see a lot of the benefits of what we've done in the first part of the year really start to take hold and really gain traction.
Matt Stotler: Got is. Very helpful. And then maybe one on the just on the on the vertical dominant strategy. So just in the prepared remarks, it sounds like at least in the first quarter there seems to be kind of a refocusing on core verticals. Obviously, a lot of opportunity left there. And maybe being a little more deliberate about going after new verticals, especially with these go-to-market changes going on. Any color you can give on kind of the vertical, sorry, the perspective that you have on the vertical expansion strategy from here and especially as it pertains to some of the opportunities you mentioned in home services and others in recent quarters
Roy Banks: Yes, yet, we still very much believe in the vertical dominant growth strategy. However, given the opportunities in the near term that we see with the core markets of dental, Opto and vet, we're very excited about those markets. And given that we're less than 10% penetrated in each one of those verticals, we really just want to go deep in those. We continue to sign up new home services customers. We've talked about home services in the past. We continue to service those customers. We continue to find new customers, we've done that this quarter. But really our focus is to continue to take opportunities that are being really surfaced to us within the existing core vertical markets that we're operating in.
Matt Stotler: It's very helpful. Thanks again.
Roy Banks: Thank you.
Operator: Thank you. And next we'll move on to [indiscernible] with Bank of America.
Unidentified Analyst: Yes, how you guys doing? Thank you for taking the call. This is I guess [James Corey]. I'm on the call for Michael Funk with Bank of America. Just kind of wanted to see if you guys can provide in the update, or if you guys are providing the update on your customer account, as well as any improvement in gross additions that COVID has pulled back.
Roy Banks: Appreciate it James. The customer count, we determined to disclose that on a once a year basis. We continue to grow, but yes, we'll be providing the customer count just on an annual basis.
Unidentified Analyst: Got you. Okay. Perfect. And one more, if I will. In terms of pricing. Have you guys been able to raise any crisis? And if so what's been the acceptance with your customers around that? 
Roy Banks: Yes. We've divided our customers into quarterly cohorts. We've began a customer price increase that started at the beginning of the year. So we've done the first two quarters of that those cohorts were today it's been well accepted. I think people are getting unfortunately little use all of us are getting a little used to adding the price increases. And so we've been able to increase the first two without significant additional churn above any normal level. And we'll continue to do that through the balance of the.
Michael Funk: Okay, thank you very much.
Operator: Thank you. And next we will move on to Tyler Radke with Citi Group. 
Tyler Radke: Hi, this is [indiscernible] for Tyler Radke. Thank you for taking my question. I was wondering in person events used to be a really big customer acquisition funnel for Weave specially prior to the pandemic. To what extent has that recovered and especially given the more recent push into digital marketing how much of the sales opportunity has been offset by the new focus there?
Roy Banks: Well, we continue to maintain cautious optimism about the return to live events. And as probably you've seen, there has been a recent uptick in events. But we remain very cautious about that you never know how that can turn. And so we do not expect events to return to what we saw in a given pre-pandemic levels. But we do expect there to be a slight uptick in events going forward. So but in terms of like our efforts to continue to develop, and really hone in our digital marketing and demand generation efforts, we remain very committed to that. And that's a new muscles that we've developed. We hired our CMO, Chris Baird earlier this year, and very happy with the progress that we're making there and really excited about the multi prong strategy that we have now in our demand generation and lead acquisition efforts. And so when events continue to make a surge or come back, we're going to be prepared to take advantage of those. And we're starting to see that now.
Unidentified Analyst: Got it. And the second question that I had was on the hiring and talent retention environment. You call that aspect of challenge last quarter. Can you give us an update there and whether or not it remains elevated and what you've seen play out during the second quarter?
Roy Banks: Well, as you all know we're not unique in the labor market challenges that have affected companies throughout the country. But we have seen a little bit of a slowdown, especially in the sales area through some of the go-to-market actions that we've taken. So we've been able to really kind of, really I think, address that in a positive way. But we continue to see a challenging labor environment. But Weave in particular, given where we are located here in Silicon slopes, we continue to be recognized as an employer of choice, both within and outside of Utah quite frankly. We were recently awarded with both the Work Life Flexibility and Compensation and Benefits Cultural of Excellence Awards, by top workplaces, USA. So I think we are distinguishing ourselves as a role model employer as an organization and a business that people want to work with. So as long as we continue to treat our people well and do right by them, I think we're going to continue to be able to weather the hiring challenges in the labor market issues that we've been competing in.
Unidentified Analyst: Okay. Thank you very much.
Roy Banks: You bet.
Operator: [Operator Instructions] We'll take our next question from Mark Schappel with Loop Capital. 
Mark Schappel: Hi, thank you for taking my question. And nice job on the revenue number this quarter. Roy starting with you and I actually want to build on an earlier question about hiring. It sounds like the company had much better success in the hiring front this quarter. However, we all know that the market for IT talent continues to be tight. So I was wondering if you could just outline just some of the changes that you made internally to try to better attract new talent into the company this quarter?
Roy Banks: Yes. So really we have a great workforce here at Weave and it's a great opportunity to be a part of Weave. We maintain a very high brand and we're a very great organization to be a part of. So when we -- a lot of the things that we've done around hiring is obviously we pay competitive wages. But we also in particular with the changes that we made in our go-to-market area, based on the changes there we kind of moved away from the SDR model went to a full cycle [AE] model that has really attracted a lot of impressive talent, people that really want the sales opportunity and the compensation alignment that we have in the rewards that we provide. So I think the changes that we made in our go-to-market was a big change that resulted in our ability to successfully recruit. I also want to recognize our recruiting team. We have an outstanding recruiting team at Weave that really knows how to harvest talent and really to attract talent here into the company. So with a lot of the efforts that we've made in that group and within the go-to-market areas, I think that we've really put ourselves in a great position to acquire and hire excellent talent within the company. The other thing that we've done is we've recently opened up an office in India for IT talent. We've hired close to 50 people, if not over 50 people in that Indian entity and location. And so being able to take advantage of that labor market has certainly helped us successfully navigate the challenging labor environment for IT channels as well.
Mark Schappel: Okay. Great. Thank you and then as a quick follow up here. Question around your dental service organization initiatives. I was wondering if you could just give us a little bit more color around the largest dental service organization that you announced last quarter and just give us an idea of what percentage of the locations are up and running today on Weave?
Roy Banks: Yes. So right now, our onboarding schedules that we have in boarding new customers from that deal are in line with the needs and resources of the customer and our capacity here at Weave to support that effort. We do not report on our clients, individual location progress, but I can tell you that we're very comfortable that by the end of the year we expect to have most if not, all of that entire customer base on boarded onto the Weave platform.
Mark Schappel: Great, thank you.
Roy Banks: You bet. 
Operator: Thank you. We'll move on next to Parker Lane with Stiefel.
Unidentified Analyst: Hi, guys, this is Matthew [indiscernible] on for Parker. Thanks for taking the question. Really great subscription numbers this quarter. I'm just curious, is there a single core vertical that you may be most excited about the potential there that really gained a lot of traction this quarter or is a pretty spread out across the board?
Roy Banks: So it is across the board on all of our verticals, dental, opto and the medical verticals are all doing well. We continue to watch all of them as they grow there because they are, they do have very different characteristics. But we have been watching that, and I think it's going across the board in the first quarter.
Unidentified Analyst: Okay, and then a follow up question on the IT channel partnership. I’m just wondering if you can talk a little bit about your vision with that going forward. And maybe how much of that was a success this quarter and how much of that you would expect to grow into over the rest of the year?
Roy Banks: I'll have to tell you, I am so excited about this channel. This is not only because of the P&L benefit that Alan described during his opening remarks, but quite frankly, the experience that we're delivering to our customers, because they are dealing with a local IT professionals that are on-site, on the scene and can provide a much better service experience than we were providing previously. So very excited about that. We have done -- so the customer experience is primary to us. And that's most important. Secondly, we've developed a great referral relationship out of our IT channel partner. So when you look at the referrals because we now have that commercial and partnership relationship, they're part of a program, we're able to derive referral leads that we can then bring in house and work in close. So very excited about that of being a new customer acquisition vehicle for the business. So that's exciting. And then the other thing I'll tell you is we're very excited. We have a great channel, IT channel partner leader in Roy Jackson. He's amazing. He has a great team. And they've done a wonderful job building a very world class program in their selection of partners, their curation of partner and bringing partners on board, training them on Weave, and really getting them excited about the weave opportunity. So my expectations for the future are simply that I think this is going to become an even more significant part of our customer acquisition channel. We get a higher quality of leads from that channel. And so my hope is that we can continue to grow that going into the future.
Unidentified Analyst: Awesome. That's great to hear. Thank you very much.
Roy Banks: You're welcome. Thank you for the questions.
Operator: [Operator Instructions] And we will take Brian Peterson with Raymond James.
Unidentified Analyst: Hi, thanks for taking the question. This is John on for Brian. I appreciate you guys don't break out payments but can we dig into the land expand there a little bit more? How's adoption tracking with payments in your base and what percent of your new locations that are coming onto the platform are taking payments right out of the gate?
Alan Taylor: Yes, so the payments growth the adoption is increasing. We've continued to refine the sales process, making sure that once the product is sold, that the equipment is registered and the usage is going up. We have seen [indiscernible] average ticket volumes going up. At the point of sale we have been seeing between 20% to 25% of adoption at the point of sale on the payments platform.
Roy Banks: And let me just add, one of the things that we're excited about is when we recently and we announced that we hired a payment sales leader to really kind of drive more focus on payments and that was evident in the performance of the company in Q1. And so we're looking really at efforts to not only attach at the point of sale, but also on an upsell basis so that we can increase the awareness of the benefits of our payment solution. And also, keep in mind we're starting to see the results of that as more and more existing and new customers understand the different modalities of payment, acceptance that they can use to hasten their cash flow and their revenue. So very excited to see that. And I would expect good things coming out of that in the future as well.
Unidentified Analyst: Perfect, thanks. That's great color there. And then I realized it's still early days here as far as the vet integrations you guys announced with veteran and Provet cloud there. But I am curious, as you guys look to build out further integrations. Is it a case where you're noticing leads that are coming in? Where they're using those systems? And this removes the barrier to entry? Or is this more about being proactive to sort of eliminate those barriers prior to going up or before going out to that business? Thank you.
Roy Banks: Yes. It really is both I mean. We obviously buy through the announcement and through the efforts to proactively announce those integrations and to secure those integrations. We're going to get existing customers who are looking for communication and engagement platform or solutions reaching out to us and also we're going to be able to go and approach customers, may not to be aware of Weave or the benefits of our solution or platform. But because we have that integration, we can give them a full enriched Weave experienced because, as you know, integrations with PMS platforms or systems of record is really how you recognize and realized the full benefit of the Weave platform are offering. And so it's really our effort to attack the opportunity through both of those mechanisms.
Unidentified Analyst: Thank you.
Roy Banks: And I might say that, look we're really excited about Provet. We're excited to be their partner, they chose us, they recognized us as a leading provider of communication and engagement solution technology. And so we're happy to be their chosen partner to distribute and to work with them here in the North American market.
Operator: Thank you. And there are no further questions at this time. That will conclude our question and answer session today. I would now like to hand your conference back over to Mr. Roy Banks, CEO for any additional or closing remarks.
Roy Banks: As always, I'd like to thank everyone for being on the call, taking an interest in Weave and your support. I'd also like to once again thank all of the people at Weave for their hard work and helping us to deliver just a wonderful quarter. And thank you very much for being on the call today. Wish you all a wonderful evening. Thank you very much.
Operator: Thank you. That does conclude today's teleconference. We do appreciate your participation. You may now disconnect.